Operator: Ladies and gentlemen, good afternoon. My name is Abbie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Berkeley Lights Fourth Quarter and Full Year 2022 Earnings Conference Call.  And I will now turn the conference over to Suzanne Hatcher, you may begin.
Suzanne Hatcher: Thank you, operator. Good afternoon everyone, and welcome to Berkeley Lights fourth quarter and full year 2022 earnings call reporting financial results for the quarter and year ended December 31, 2022. My name is Suzanne Hatcher, Vice President of Communications and Investor Relations at Berkeley Lights. Iâm joined today by Dr. Siddhartha Kadia, Chief Executive Officer and Mehul Joshi, Chief Financial Officer. Before we begin, Iâd like to remind you that management will be make statements during this call that are forward-looking statements within the meaning of Federal Securities Laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. For more information, please refer to the risks, uncertainties and other factors discussed in our SEC filings. Except as required by law, Berkeley Lights disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast on February 23, 2023. With that, Iâd like to turn the call over to Siddhartha.
Dr. Siddhartha Kadia: Thank you, Susan, and thank you, everyone, for joining us. This was a transformative year for Berkeley Lights as we made significant changes across the business. In 2022, we successfully completed the important AAV contract with Thermo Fisher, upgraded the software suite for Beacon and Lightning platforms, launched the Rabbit Memory B cell workflow to accelerate antibody discovery and extended our reach with multiple new customers, onboarding the Berkeley technology. We made several great additions to our management team, outlined a new strategic operating plan and hosted our first Investor Day. And most recently, we announced plans to acquire IsoPlexis. After closing, the combination of Berkeley Lights and IsoPlexis will form a premier functional cell biology company PhenomeX, providing live cell biology research tools to deliver deep insights into cellular function and new perspectives on phenomes. Iâm very excited for the future as we continue our transformation into growing, profitable and sustainable life sciences companies. I will begin the call today by providing updates on the progress we made against all the pillars of our strategic operating plan and will then turn over the call to Mehul, who will review our fourth quarter and full year 2022 financial results in more detail. Starting with our first strategic pillar, of building a world-class life sciences leadership team with a proven track record and profitably scaling life sciences tools companies. Since I joined Berkeley Lights nearly a year ago, we made significant progress building out a very strong team with seasoned executives. With external hires bringing leadership with deep life sciences experience as well as internal appointments that bring critical knowledge of the innovative technology platform at Berkeley Lights. This key hires include, Chief Financial Officer, Chief Human Resources Officer, Head of Strategy and Corporate Development and Chief Legal Officer. Additionally, with the anticipated closing of the acquisition of IsoPlexis, Sean Mackay will join the combined company as Chief Product Officer. Looking forward, we are focused on building a strong global commercial team in 2023 with the goal of establishing teams and partnerships in key regions. Iâm confident, the combination of our experienced leadership team and a strengthened commercial team will drive a culture of innovation, customer centricity and the commitment to excellence in quality. We anticipate making additional commercial appointments in the next few weeks. Moving on to our second strategic pillar of prioritizing R&D return on investment through increased focus and rigor on development initiatives. We made considerable progress in 2022 as we streamlined our R&D focus areas by narrowing the scope of many projects and shifting our product portfolio from complex, multi-generational launches to a more simplified approach. We believe this approach will enable us to better fulfill our customersâ needs. As we have previously shared, we believe there is a significant opportunity for our technology to add value in cell and gene therapy space. We are focused on improving the cost and therapeutically relevant yields for manufacturing AAV-based gene therapies to our platform, and weâll continue to dedicate ample resources to development of an AAV manufacturing workflow throughout 2023. We are seeking commercial and technology partners to develop a strong out-licensing technology model and are currently in discussions with several potential industry partners for this advanced therapy initiatives. We are also focusing our resources on TCR discovery, where our technology has been very useful for large companies involved in specialized, personalized cancer vaccines and enables people to make personalized  around TCR similar to our antibody discovery workflow. We believe that these 2 areas have the highest value for our customers and consequentially for the entire biotech industry. Moving on to our third pillar of delivering consistent commercial execution through a new sales structure and enhanced product portfolio and pricing strategy. We are materially enhancing our approach to the market with the introduction of a more flexible configuration and pricing strategy that encompasses the total cost of ownership. In line with this approach, in early January, we introduced Beacon Select, a 2-chip single-cell optofluidic system for cell line development, enabling scientists to clone, culture, assay and select top clones in a single run on a single platform. The Select is approximately half the price of the previous Beacon model and will be available through different processing options, including capital placement,  or reagent rental. With slightly reduced capability from our first platform, this will increase customer accessibility and expand the customer base as it is ideally suited for small to midsized biopharma and CROs and CDMOs. We believe broadening our portfolio of platforms will allow us to access a wider array of potential customers in the market with the products that are more tailored to their needs and budgets. Going forward, we intend to launch application-specific models of Beacon system periodically. In line with this cadence, we expect to launch Beacon Quest, a lower-cost device in 10 days for the academic market in the second quarter for this year. We are already seeing early interest in this model. As weâve said previously, in terms of our go-forward product roadmap, we believe that our technology can provide significant value in high-growth academic research segments, for example, gene editing and immuno-oncology applications. A top priority in 2023 will be to form academic collaboration pilot programs to help guide the design of this new application. Turning to our fourth strategic pillar of evaluating mergers and acquisitions opportunity that will help us accelerate profitable growth and leverage our cost structure. On December 21 last year, we announced our intention for consolidation in the single-cell biology industry with the combination of Berkeley Lights and IsoPlexis to create PhenomeX. This anticipated combination drives towards a broader, diversified cell biology company focused on understanding the phenome by providing a deeper analysis of cell function, while uniquely preserving the live cells of interest. The transaction is expected to close by the end of first quarter of 2023, and our integration planning is in full swing. When the merger closes, the combined company will have about 400-plus installed base in all the top 15 pharmaceutical companies by revenue and 80% of comprehensive cancer centers in the United States. Together, there will be more than 100 sales and support employees with greater reach to academic biopharma and CRO companies globally. Additionally, the combined company will have a strong 600 patent portfolio estate. We will also have a balanced product portfolio with significantly diverse price points for our customers to access and substantially expanded reach to a much larger cell biology market. The combined product portfolio at PhenomeX will include our Beacon system, the Beacon Select for cell line development launched in January and the existing instrument platforms for IsoPlexis, IsoSpark and IsoLight. We expect to launch several new technology offering at PhenomeX in 2023. This includes the Beacon Select for antibody discovery workflow and Beacon Quest for the academic market in the second quarter of 2023 as well as IsoPlexisâ bulk proteomics platform called CodePlex Q. We plan to unveil the PhenomeX comprehensive product roadmap in the summer of 2023 at a planned investor event. The combination of Berkeley Lights and IsoPlexis will represent an important milestone and lay a great foundation for a very strong life sciences tools company. Importantly, we expect this transaction to exploit our progress across every pillar of our strategic plan. We believe PhenomeX will have the power to bring to market much more ubiquitous cell biology tools, which could be used by every single scientific institution in the world. We look forward to joining forces with the IsoPlexis team as we embark on this new chapter and create value for our customers, employees and shareholders. In addition to IsoPlexis, we recently acquired all the technology assets from Evorion Biotechnologies, developers of a system capable of live tracking cellular interactions. The alternative intellectual property approach to single-cell functional analysis called CellCity will help accelerate the development of our pipeline. With this purchase, Berkeley Lights acquired the entire patent portfolio, complete with 17 patent families in all CellCity prototypes and software source code for approximately $250,000 compared to the $20 million spent on developing the technology. Finally, Iâd like to give an update on our fifth strategic pillar of generating positive operating cash flow. We are focused on building a growing, profitable and sustainable business rather than pursuing growth at any cost. When we first announced our new strategic operating plan, we anticipate that achieving this goal by 2025. We are making significant progress against our goal with revenue accelerated and supported by an updated, market-driven product portfolio and pricing strategy as well as disciplined expense and cash management. We have taken several actions in Q1 2023 to reduce our overall headcount spend, including transitioning existing employees, approximately 9% of their workforce, closing open positions and reducing our consulting and contractor spend. This is in addition to our business optimization initiatives in July 2022. Now I would like to turn the call over to Mehul Joshi to discuss our fourth quarter and full year 2022 results.
Mehul Joshi: Thank you, Siddhartha. Revenue in the fourth quarter was $17.8 million, bringing full-year results slightly above the range we preannounced in early January. Revenue this quarter was impacted by the timing of certain Beacon platform placements. And as previously communicated, our ongoing initiatives to reshape our partnerships and services business away from low-margin contracts to focused initiatives on AAV and TCR discovery. We also experienced a tightening macroeconomic environment, similar to what our industry has been facing, with elongated sales cycles and constrained capital budgets. By geography, North America accounted for 30% of total revenue in the fourth quarter 2022, followed by APAC at 36% and EMEA at 34%. Platform revenue was $10.2 million in the fourth quarter 2022, up 5% compared to $9.7 million in the fourth quarter 2021. Our installed base grew by 7 placements during the fourth quarter of 2022, including 6 Beacon placements. This brings the total installed base to 135 platforms. Q4 sales were representative across all customer segments, including biopharma, CRO, CDMO and academic customers. Recurring revenue was $6.4 million in the fourth quarter of 2022, up 6% compared to $6.1 million in prior year. We are focused on expanding the installed base to drive stable, predictable recurring revenue. Revenue from partnerships and services decreased to $1.2 million in the fourth quarter 2022 compared to $7.4 million in the prior year. This includes revenue from Vestaron and Bayer partnerships. Both of these partnership contracts are now complete, and we expect no revenue from strategic partnerships and services agreements to be recognized in the first quarter of 2023. As we shift to the new operating model for our partnerships businesses, we see high levels of interest in our AAV and TCR discovery solutions and anticipate having a number of customer contracts in the second half of 2023. Gross profit for the fourth quarter of 2022 was $12 million compared to $16 million in the prior year. Gross margin for the fourth quarter of 2022 was 67.3% compared to 68.8% in the fourth quarter of 2021. Operating expenses in the fourth quarter 2022 were $41.7 million, inclusive of $5.1 million of stock-based compensation, compared to OpEx of $33.8 million, inclusive of $5.1 million of stock-based compensation in the same period of the prior year. Operating expenses in Q4 2022 included large one-time fees for legal expenses related to a customer arbitration, expenses for M&A and approximately $2.5 million of noncash restructuring expense as we continue to streamline and simplify our business. Net loss for the fourth quarter 2022 was $29.3 million compared to a loss of $17.7 million for the prior year period. All net loss numbers are inclusive of stock-based compensation and restructuring expenses. We are laser-focused on operating expenses and cash flow and expect our Q1 OpEx to be down approximately 25% from Q4 of 2022. Looking at the full year, total revenue for 2022 was $78.6 million, down 8% year-over-year. Regionally, North America accounted for 49% of total revenues in the year, followed by APAC at 34% and EMEA at 17%. For 2022, revenue from direct platform sales totaled $35.8 million, driven by 24 placements in 2022. Recurring revenue was $24.8 million, an increase of 30% from 2021. Partnerships and services revenue was $18 million compared to $19.9 million in 2021 and reflects our shift in strategy away from low-margin business. Gross profit for full year 2022 was $53.8 million compared to $56.6 million in the prior year. Gross margin for 2022 was 68.4% compared to 66.2% in the prior year. Total operating expenses in 2022 were $151.8 million, comprising $53.2 million of R&D expenses, $95.1 million of SG&A and $3.5 million of restructuring costs. Stock-based compensation included in operating expenses was $22.2 million and increased approximately $1 million year-over-year. Net loss for 2022 was $98.0 million compared to a loss of $71.7 million in 2021. We ended the year with a cash balance of $132.8 million, which included our cash, cash equivalents and short-term marketable securities, representing a cash burn of approximately $11 million from the end of the fourth quarter 2022. Our ending cash balance also reflects approximately $9.2 million that was recovered due to the unauthorized issuance of shares that we previously announced in 8-Ks filed with the SEC dated December 16, 2022 and February 14, 2023. Our cash is being managed appropriately and we reached our year-end cash balance goal. Our available liquidity is $142.8 million, which includes our revolving credit facility. At this time, we will not be providing 2023 guidance given the pending acquisition of IsoPlexis which we expect to close in March. We affirm our commitment to the goal of being operating cash flow positive earlier and will provide guidance after 1 full quarter at PhenomeX. With that, we will now open it up to questions. Operator?
Operator:  And we will take our first question from Tejas Savant with Morgan Stanley.
Unidentified Analyst: Hey, guys, this is Edmond on for Tejas. Siddhartha, you mentioned integration planning. I was just wondering if you could provide more details around that. Ahead of the deal, what have you done to ensure that youâll hit the ground running upon the close of the deal?
Dr. Siddhartha Kadia: Yes. We have a very strong integration planning push ongoing ever since we announced the transaction in December. And Iâm happy to report that we are making very strong progress on all matters. Perhaps to just set a context for what is this indication about? There are 3 main areas of synergies -- the word synergy not just being about the cost, but about synergistic business processes between Berkeley Lights and IsoPlexis. Number one is to make sure that we are utilizing the SG&A structure, specifical G&A structure built in case of IsoPlexis and Berkeley Lights for both of those being public companies that have significant expense structure built to support these 2 companies to come to public markets. And there is a significant amount of cost reduction that will take place between those functions. Next, if we talk about the sales and marketing function, this transaction provided opportunity for both companies to significantly expand the commercial reach. The combined company will have more than 100 people across the world, supporting sales, marketing, customer service, support and technical services functions. And in fact, for a company of this scale, that is a very nice scale for us to be able to achieve very quickly in very technical areas of commercialization that is very difficult to build. So it gives us a significant advantage in coming to the market across all the geographies with a combined sales and marketing footprint. The third area of integration is in the innovation. Here, both companies being small companies with a very high expectations on growth on these very small companies have invested ahead of the time on research and development initiatives. And oftentimes, what I have found throughout my career and especially through here between both companies that there is a lot of initiatives in place. And in fact, when there is way too many initiatives, it is not easy to execute against all of them. So we have taken the approach of simplification between the 2 businesses and focusing on a few initiatives and doing them really well. What is even more important to highlight here is the company has come with incredible technology overlap. Berkeley Lights platform has an ability to -- sort of really unprecedented ability to track live cells, manipulate them and still recover them for future analysis. IsoPlexis technology allows those cells to be studied in an incredible depth with a level of analysis that has not been seen before by other tools. And at the same time, from a commercial perspective, IsoPlexis technology is introduced in a box that is significantly lower cost than a Berkeley Lights platform. For example, IsoPlexisâ technologies offered in the market anywhere between USD100,000 and USD250,000 of value, whereas the Berkeley Lights platform is sold between USD1 million to USD2 million of pricing point. Going forward, we are making significant progress on our innovation teams to come together to offer as many of our competencies from technology perspectives in a lower-cost device, that is a much more stronger software suite, which we were able to fortunate to be formed in IsoPlexis, the software capabilities of IsoPlexis team is fantastic, and it really has created a push button, answer in a box kind of a device approach to be used in life sciences tools industry, which we are very keen to combine for our combined portfolio. So hopefully, this gives you an idea. Overall, I do want to tell you that the combined companyâs cost structure was about $200 million. The revenue base that combined company has does not need that level of expenditure and we are committed to going after approximately $70 million of cost reductions, majority of it will come from obvious functions like public company expense reductions, but also some of that will come from synergizing our research and development initiatives for company to be effectively managing our execution plans. Hopefully, this is comprehensive and happy to answer further questions on this.
Unidentified Analyst: And I guess just stemming on the back of the innovation point and bringing the 2 technologies together, I mean, now that the deal has been announced for a couple of months, have you started to get any early customer feedback on the possibilities of merging these technologies together and any interesting applications?
Dr. Siddhartha Kadia: Yes. In fact, thatâs a great question, Edmond. We often when individual company employees have reached out to our customers for what additional things they would like, especially in the area of cell and gene therapy, there is a tremendous demand for people to use these 2 technologies in tandem. In other words, people are often interested in preserving the cells of interest from Berkeley Lights platform and then doing the deeper analysis on the IsoPlexisâ platform, and that combination has been requested by customers. So, I mean, the casual discussions for quite some time. And in fact, that is not the main reason for the technology overlap that has given us the attractiveness to bring these 2 companies together, both for us as well as for the IsoPlexisâ management team. However, we would be unveiling of the full detailed comprehensive product roadmap for the combined companies to bring to market in 2024 and beyond, we will be disclosing that sometime in December once we have a full work-to-work with our colleagues on the other side for a full quarter or so in the 2023 year.
Operator: And we will take our next question from Chad Wiatrowski with Cowen.
Chad Wiatrowski: Hi, Chad Wiatrowski on for Steven Mah. With regards to the AAV and TCR discovery customer contracts that youâre expecting to come this year, what can we expect in terms of deal structure? Specifically, are you noticing any hesitancy from prospective partners to deploy R&D dollars upfront? And does that create an opportunity to capture any downstream economics?
Dr. Siddhartha Kadia: Chad, I think depending on the type of customer we are talking about, there is different arrangements weâre going to make. So weâre not going to go into specific details here on the structure of specific customers. But I can tell you that our first very successful customer experience in that was all upfront R&D dollars. We believe that the value is significant and for us to fully capture the value. Weâre going to want to have further contracts structured in a way that allows us to participate in the downstream revenue in addition to having a reasonable margin business for providing the services in the first phase. So going forward, you will see a -- our target margins are actually in that north of 60%, 70% gross margins. In addition to that, we would be expecting that customers share with us the downstream value creation because the value creation, as you talked about it, instead of doing these kind of projects, Berkeley Lights platform could be used in all sorts of research applications. And frankly, we could get boil the ocean approach here, but weâve identified 2 places, where the opportunity for us is high, but more importantly, opportunities for our customers to add value for their customers is even very, very strong here and that allows us to reasonably expect participation in the downstream economics. So you should expect more of that, but thereâs a lot more discussions and negotiations going on, so Iâm not going to comment on the specifics right now.
Chad Wiatrowski: And then just regarding the combined sales force, do you expect to cross-train both reps? And are there any opportunities like with the launch of the Beacon 1 plan for this year to maybe leverage each otherâs existing sales channels?
Dr. Siddhartha Kadia: Itâs a fantastic question, Chad. And yes, the Beacon 1 has been renamed to Beacon Quest, implying the Quest as in discovery and science in the research academic market. And you are absolutely correct. One good thing about these 2 companies coming together is not just a random marriage of 2 life sciences tools companies with very different product lines. These are both cell biology-based companies, both serving in customer segments that are overlapping and speaking the common language. So we will be able to cross-train the personnel and that is a very large focus for our integration planning. Of course, the transaction is not closed here. We are expecting it to close in the next few weeks here. And as soon as the transaction is closed, we intend to start the cross-training between the 2 teams. And just to add one more thing to that, Chad, just one more thing on that, Chad. Berkeley Lights capabilities on a commercial side has been significantly invested in the biopharmaceutical customer segment. We have some academic markets transactions, but not because we specifically targeted salespeople to that segment until recently. However, the IsoPlexisâ team is very strong in academic market segment and has a significant academic presence. In fact, many of the units are actually placed in the largest cancer research centers in North America and a very strong presence in terms of the combined installed base. As we mentioned in the prepared remarks, approximately a total of 400 installed base, really giving us a much significant increase, not only from our customer access from a sales point of view, but also having a lot more customers who can speak for us. Every week, there is a publication with site, a product that was used from either companyâs products now.
Operator: And we will take our next question from Mark Massaro with BTIG.
Vidyun Bais: Hey, guys. This is Vidyun on for Mark. So I believe IsoPlexis didnât yet report their final Q4 results. Is it your view that theyâre also be impacted by instrument placement timing and longer sales cycles? And on that note, how many placements during the quarter for Berkeley Lights, where tech access subscription? If you could give us any flavor there?
Dr. Siddhartha Kadia: So weâre still an independent company. So weâre not going to comment on IsoPlexis fourth quarter results. Youâll have to wait until they publish their results. On the number of placements, we had 7 placements in the fourth quarter, 6 were Beacon placements and one was a lightning placement. So those were capital sales. We did not earn any revenue from tech access -- a new tech access placement. However, we have booked the tech access placement that will get installed and start earning revenue shortly.
Vidyun Bais: Just a quick follow-up. You briefly mentioned, I think, the acquisition of the patent portfolio. So whatâs your updated thinking around M&A? Or is the focus in the coming months primarily going to be on IsoPlexis integration?
Dr. Siddhartha Kadia: Yes. Vidyun, for the next quarter, we are super focused on executing the integration planning and the subsequent actions that need to take place and an entire management team is right now fully focused on that on both sides. As we discussed earlier on the call, thereâs also a lot of heavy lift to be done on a commercial integration and training, cross-training across the business as well as a significant amount of work to do on making sure that we have a robust product portfolio roadmap for the next 3 years, and weâll be unveiling all of that later in the summer at the Investor Day. However, I think to go back to the transaction you mentioned, it was a transaction that was pursued in parallel with IsoPlexis and it is quite interesting people who -- the asset actually was in Germany with some very capable engineers and scientists trying to do this work around cell-cell interactions. As we engage with them, we saw that there is something very important here that we could leverage into our combined platforms, especially as we were already discussing the combination with IsoPlexis. We saw a huge opportunity for us to acquire total assets at a -- significant discount at a 1% of the total investment value for which it was created, approximately $250,000 for an asset that was  after $20 million of investments. We believe this kind of opportunistic transactions are something weâll still keep an eye on. This is a kind of a matter of perspective on the industry, life sciences tools industry got tremendous investment in what was the end stage of the bull markets in the world, approximately $4 billion to $5 billion of venture capital funding and related funding had gone into creating all sorts of life sciences to this company and then candidly, unfortunately, not many of these technologies will become companies and not that many of the companies that have formed will become going concerns. And therein lies the opportunity for a company like us, having a robust leadership team and a very clear pathway for becoming a broad functional cell biology company to be very selective about it, but then also be very strategic about continuing to look for assets like this. So we will not be making any large transaction announcements in Q2, I can assure you of that, but weâll continue to look for opportunistic transactions like the one we just described today.
Operator: We will take our next question from Matt Larew with William Blair.
Matt Larew: Apologies if you covered this because some connecting issues early on. But just on Beacon Select, obviously, that launched in the quarter and that was something you expected. I just wanted to follow up to understand maybe early interest that you are seeing, obviously, is that different price point and opens up the market a bit more for you? So how maybe some of the preorder or customer conversation activity from the end of last year has converted into further interest or sales early on this year?
Dr. Siddhartha Kadia: Yes. So thatâs a great question. Let me just make sure that we explain sort of what we originally intended to launch Beacon Select later in the year, but we were able to accelerate launch of the Beacon Select in Q1 and specifically for cell line development workflow, which is where we initially thought there is going to be a significant demand for accessing our portfolio of products at a lower cost upfront in exchange for a higher consumable cost in the longer term. And we have -- as you know, the sales cycles for capital instrument is actually a 2- to 3-quarter long cycle. So we are building the funnel right now. Our salespeople are trained on the new tool now and they are building the funnel as we speak. So we donât have a specific funnel report to give out to you, but we have some early success in the transactions. We will disclose that when the Q1 is finished, but we will continue to inform you on that. The second thing I would say is that given the Beacon Select success that we are seeing in the early discussions with the customers, weâve also decided to launch a Beacon Select platform for antibody discovery workflow, which is a different application and we will be launching that sometime in Q2. Again, as our commercial team is getting more successful, explaining the total cost of ownership equation to our potential customers, this is something that we thought was valuable to do to lower that barrier -- upfront barriers for most of our customers. Hopefully, that answers your question, Matt.
Matt Larew: Yes. And Mehul, understanding that youâre not providing guidance. It might be helpful if you could at least review for us any comp issues from the previous year, any previously communicated margin dynamics or seasonality issues, regional macro issues that you want us to be aware of as weâre putting our models together ahead of a more formal update after the transaction closes?
Dr. Siddhartha Kadia: Yes, I think Matt, let me take that and Iâll hand over to Mehul for specifics on the discussions here. But just to be a step back for a second and make sure we explain the reason for not providing guidance. As you know, Iâve taken the job now for 3-plus full quarters coming on to my fourth quarter finish year as a CEO of this company. We came in and we have decided to look at everything with fresh set of eyes with a very specific orientation towards life sciences tools market and being very fast-based and fast-focused. Weâve made some significant progress on laying out the principles by which  run the company. We believe that we made significant progress towards each one of the pillars that we laid out. And we were fortunate to be able to both identify and conclude a transaction that really lays out the proof of the strategy going forward. I think it will be imprudent for us not having managed that company under our wings until at least a quarter or so to start providing guidance for something we donât yet own. And I think itâs important for us to just make sure that we make that after appropriate amount of deliberation and owning the business for a little bit. More importantly, as we plan through integration planning, we are making active trade-off decisions between cost and revenues and also synergies in all aspects of the company, including the operations function where gross margin is going to be designed between the 2 companiesâ product lines. There are significant opportunities for operational synergies, but it all requires a lot of heavy lift and work. So we need to own the business for a little bit before we start providing with specific guidance. We do, however, reaffirm our earlier statement that the combination will allow us to become cash flow positive earlier than when we stated in the previous discussions. So with that, maybe let me hand over to Mehul to see if thereâs any specific that he can provide the color on.
Mehul Joshi: Yes. No, I donât think Iâll provide any specifics. The only thing Iâd add to what Siddhartha said, which I think was pretty comprehensive is as we combine our commercial teams and the footprint that weâll have and the cross-training that will occur, we believe having that coverage across multiple industry segments will enable us to drive revenue with our enhanced product portfolio, as weâve talked about with the Beacon Select, Beacon Quest as well as the IsoPlexis products. And so we have high aspirations. But until we uncover all the details and create the integration strategy around commercial, we donât really want to lay out any specific guidance.
Operator: And we will take our last question from Gaurav Goparaju with Berenberg.
Gaurav Goparaju: With the introduction of Beacon Select and incoming release of Beacon Quest, are you planning on offloading the TechAccess subscription as an option given seemingly muted demand there? And as a follow-up, why do you think customers are more receptive of the selecting Quest than they seemingly have been for TechAccess?
Dr. Siddhartha Kadia: Yes. Good question. We donât anticipate changing what has been offered to our customers. There are people who might only have an operational expenses budget. And for them, TechAccess is a better fit for them. Some people might have budget earmarked for capital purchases. And of course, thatâs a very different type of processes for organizations to run for spending their budgets, so we will offer both. The specifics on why it is more attractive. For economic market segment, anything north of $1 million is a very, very long shot unless it is absolutely something that is core to the person does for the work. Most academic grants donât justify that level of capital spend. So we have to introduce something that is more sensible for academic market segment, and thatâs what the Beacon Quest will do. With Beacon Select, we decided to go after a market segment that is not fully addressed here yet, which is the smaller to midsized biopharma companies as well as CROs. And some of the early-stage companies that interest in our technology, but do not have the capital upfront budget for $2 million. And again, itâs valuable for us to be able to offer them a capital placement opportunity so that they can actually own the equipment, get their personal train and feel more confident rather than just getting a  which is a kind of a partial commitment on their part here. So hopefully, that explains to you. You want to be flexible with the introduction of this amazing technology in a way that customers  not sort of we dictate how the customers should access it.
Gaurav Goparaju: And then one quick follow-up from me, kind of on a similar angle. I know you mentioned, right, 1 lightning placements out of the 7. Overall, are you seeing any pickup or maybe just equilibrium in demand for Lightning and Culture Station?
Dr. Siddhartha Kadia: Itâs a great question. As we said, thereâs few things about Lightning launch. Iâve evaluated sort of all the things that have happened in the companyâs commercial history for the last 4 years. And one of the things I think was a  in our opportunity that Lighting was offered in a significantly lower feature set compared to what the customers can do. In fact, the export of cells is manual, which is one of those things that actually customers may or may not like because it requires a person to sit next to the machine for a long time to export the cells. And as a result, the technology is not offering in its full glory, if you will. So Beacon Quest has been kind of an answer for that. We are offering a large part of our capability to academic researchers in that Beacon Quest design that we are pursuing right now. And we believe thatâs actually a better solution for people who want to use our technology, not to say that some people are still not interested in Lightning depending on the application and the kind of labor resources they have to deploy against this technology. Some people still might want Lightning and weâll continue to support them with that. But our -- second thing I would say that our commercial footprint in front of economic market just never has been that strong to support Lightning at a wide level. There are thousands of academic research labs that we couldnât have reached with a limited number of commercial employees that we add. So having this combination of commercial footprint between IsoPlexis and Berkeley Lights and will be able to take both of our technologies, Beacon Quest as well as Lighting to the academic customer base with a lot more access available to the customers.
Operator: And ladies and gentlemen, this concludes Berkeley Lights fourth quarter and full-year 2022 earnings conference call. We thank you for your participation and you may now disconnect.